Operator: Good day! And welcome to the CONSOL Energy's First Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today's presentation there will be an opportunity to ask questions. [Operator Instructions]. Please note that this event is being recorded today. I would now like to turn the conference over to Nathan Tucker, Director of Finance and Investor Relations. Please go ahead.
Nathan Tucker: Thank you and good morning everyone. Welcome to CONSOL Energy's First Quarter 2023 Earnings Conference Call. Any forward-looking statements or comments we make about future expectations are subject to risks, certain of which we have outlined in our press release and our SEC filings and are considered forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. We do not undertake any obligations of updating any forward-looking statements for future events or otherwise. We will also be discussing certain non-GAAP financial measures, which are defined and reconciled to comparable GAAP financial measures in our press release and furnished to the SEC on Form 8-K, which is also posted on our website. Additionally, we filed our quarterly report on 10-Q for the quarter ended March 31, 2023 with the SEC this morning. You can find additional information regarding the company on our website, www.CONSOLEnergy.com, which also includes the supplemental slide deck that was posted this morning. On the call with me today are Jimmy Brock, our Chief Executive Officer; Mitesh Thakkar, President and Chief Financial Officer; Bob Braithwaite, our Senior Vice President of Marketing and Sales and Dan Connell, our Senior Vice President of Strategy. In his prepared remarks, Jimmy will provide a recap of our first quarter 2023 achievements and a detailed discussion of our operations. Mitesh will then provide an update on our marketing, financial and sustainability initiatives and our 2023 outlook. In his closing comments, Jimmy will lay out our key priorities for the remainder of 2023 and provide an update on our shareholder return program. After the prepared remarks, there will be a Q&A session in which Bob and Dan will also participate. With that, let me turn it over to Jimmy.
Jimmy Brock: Thank you, Nate and good morning everyone. CONSOL Energy finished Q1, 2023 with record quarterly performances on many fronts, including net income, earnings per share and adjusted EBITDA and we have the lowest net debt level in our history.  At the PAMC, we achieved our highest realized revenue per ton sold and average cash margin per ton sold. At the CONSOL Marine Terminal, we set new records for quarterly throughput volume, revenue and CMT adjusted EBITDA. This strong performance on multiple fronts also enabled us to set a new quarterly record for what we view as one of our most important metrics, free cash flow generation. We have a robust capital allocation strategy, and our free cash flow generation has allowed us to further advance some of our key strategic goals. In fact, since we announced our enhanced shareholder return program at the end of the second quarter of 2022, we have deployed nearly every dollar of free cash flow that we’ve generated toward creating long-term value for our shareholders, whether it was in the form of dividends, share buybacks or debt reductions.  Since the end of Q2’22, we have generated $444 million of free cash flow, yet our total cash position has risen by only $9 million. Of the approximately $435 million deployed, $238 million went toward retiring our outstanding debt, $110 million towards dividends, and $88 million toward retiring approximately 4% of CEIX common stock. We also fine-tuned our capital allocation process over time, heavily focused on debt reduction in our early years, starting in late 2017, and then gradually pivoting more and more toward return of our shareholder capital over time. This has been evidenced by the continued growth in the percentage of our free cash flow returned to shareholders each quarter since implementing the shareholder return program. In fact, Q1’23, more of our free cash flow generation was directed toward shareholder returns versus debt repayments.  As we've moved closer and closer to our gross debt target, our shareholder return allocation has gradually increased. As such, we are pleased to announce this morning that we are again shifting the scale up by allocating approximately 75% of quarterly free cash flows for our shareholder return program, which will now emphasize share buybacks over dividends. I will provide a more detailed update on this shortly. Let's now discuss our operational performance. On the safety front, our Bailey Preparation Plant, Itmann Preparation Plant and CONSOL Marine Terminal each had ZERO employee recordable incidents during the first quarter of 2023. The PAMC finished the quarter with a total recordable incident rate of 1.78, which continued to track well below the national average for underground coal mines.  Coal production at the Pennsylvania Mining Complex came in at 7 million tons in Q1 ‘23, an increase compared to 6.4 million tons in the prior year period. Production improved this quarter compared to Q1 ‘22 due to the restart of the second longwall at the Enlow Fork mine in mid-December 2022, which brought us back to our full operational capacity of five longwalls at the PAMC.  Q1 ‘23 marked the first quarter since Q1 ‘21, in which all five longwalls were fully operational and in which we mined at least 7 million tons. From a productivity standpoint, measured as tons per employee hour, the PAMC ended the quarter improved by 3% compared to its full year 2022 average. On the cost front, our PAMC average cash cost of coal sold per ton for Q1 ‘23 was $33.61 compared to $29.91 in Q1 ‘22. While the year ago comparison reflects significant inflationary pressures on supplies and labor, which have been an issue globally over the last 12 months, we point out that our Q1 ‘23 performance was improved by $1.28 per ton compared to Q4 of ‘22. This is due to the fixed cost leverage that comes with the fifth longwall. Now let's discuss our Itmann project. Progress continues and we remain focused on ramping up to full run rate production during 2023. Following the adverse geological conditions and section equipment delivery delays that we experienced in the second half of 2022, we currently have two of our three continuous miner super sections operational and will be turning our attention to getting the third CM super section up and running soon.  Long-term underground construction work is 75% complete and staffing levels have improved throughout the quarter. We've also begun to see improvements in mine productivity and prep plant performance as we've turned our attention from project development to operational optimization this year.  The Itmann mining complex produced 64,000 tons of coal during the first quarter of 2023 and sold 108,000 tons of Itmann and third-party coal in aggregate during the quarter. The Itmann product continues to be successfully marketed to both domestic and export customers. As we ramp up production, our focus is shifting towards securing new business with strategic partners. Moving to the CONSOL Marine Terminal. We had a record quarterly throughput volume of 4.6 million tons during Q1 ‘23, representing an annualized rate above 18 million tons compared to 3.6 million tons in the prior year period. This is exciting, because we have been working hard to de-bottleneck the terminal in an effort to increase its operating capacity. Some of the key focused areas included in the inbound capacity and operational management.  We have been working with our transportation partners to boost freight capacity and efficiencies on the inbound side of the terminal. We also have been focusing on optimizing our operations in areas such as stockpile efficiency, trained turn times, and vessel loading rates, with a planned future focus on turn times between vessels. Through these efforts and our Q1 ‘23 performance, we now believe the terminal throughput capacity could reach approximately 20 million tons annually. This is also important strategically, as we continue to focus on the export markets as the key growth opportunity for PAMC coal sales. Terminal revenues for the quarter came in at $26.7 million, and CMT operating cash costs were $5.9 million. CMT adjusted EBITDA finished Q1 ‘23 at $20.6 million, compared to $14.5 million in the prior year period.  With that, I will turn the call over to Mitesh.
Mitesh Thakkar : Thank you, Jimmy and good morning everyone. We entered the first quarter with a strong domestic and export book of business for 2023. However, due to warmer than expected winter and low natural gas prices, domestic coal burn was muted, and inventories at domestic coal-fired power plants began to grow.  Our marketing team was quick to respond and was able to swiftly pivot more tons to the export market. Where the demand for our product remained strong, particularly in the industrial markets, we sold 6.7 million tons of PAMC coal at a record quarterly average realized coal revenue per ton sold of $84.32 compared to 6.5 million tons at $59.60 in the year-ago period. More importantly, sales into the export industrial market outpaced sales into the domestic power generation market for the first time in our history. Overall sales into the export market accounted for 66% of our total PAMC realized coal revenue, including 33% coming from the export industrial market and 13% from the export crossover metallurgical coal market. This is a crucial development for us as it demonstrates our ability to be nimble in utilizing our export marketing and logistic advantages to offset weakness in the domestic energy markets, a unique capability that few domestic coal and E&P companies possess. Furthermore, our sales team opportunistically increased our forward sell position by 13.5 million tons in the first quarter for delivery through 2026, in essence increasing our sales backlog despite a challenging market backdrop. More importantly, the majority of these tons are part of the long-term contracts in the Indian industrial market through 2026, which is exciting, because we expect this market to expand substantially in the coming decade. As we work to increase the capacity of the CONSOL Marine Terminal, we’ll be even better positioned to serve this growing market. As a result of our marketing efforts in 1Q ‘23, we are now near fully contracted for 2023 and have 14.7 million tons contracted for 2024.  Now let me provide an update on our balance sheet management and capital allocation progress before discussing our financial results and sustainability initiatives. We continue to make considerable progress on our stated financial priority in the quarter. First, we generated $221 million of free cash flow, approximately 45% of which was deployed toward continuing to reduce our gross debt level. When factoring in our unrestricted cash and short-term investments, our total net debt on March 31 stood at $14 million. Second, I'm also pleased to report that since the end of first quarter, we made a $24 million discretionary payment to fully retire our Term Loan B and submitted an additional redemption notice for 25 million of our second lien notes, which will be redeemed during 2Q’23. These pay downs, worth an aggregate of $49 million, will bring our gross debt level to approximately $240 million. Furthermore, we expect to fully retire our second lien notes in the near term. Third, we finished the quarter with a strong liquidity position of $384 million. However, this was a decline from our year-end 2022 liquidity due to the expected $140 million reduction to our revolving credit facility borrowing limit at the end of March. As a reminder, during our revolver refinancing in July 2022, despite multiple new lenders entering the facility, many legacy lenders decided to exit due to ESG pressures. We have bolstered our cash position in order to absorb this reduction. Finally, during the quarter we also repurchased 1.2 million shares of our outstanding common stock for $67 million at a weighted average price of $55.60 per share. These repurchases represented approximately 3.5% of our public float and roughly 30% of our 1Q ‘23 free cash flow generation. Additionally, this morning, we announced that the Board of Directors elected to issue a dividend of $1.10 per share, which marks our fourth dividend since announcing our enhanced shareholder return program. This payment will total roughly $37 million or 17% of our 1Q ‘23 free cash flow generation.  Now, let me recap our first quarter 2023 financial results. This morning, we reported a strong first quarter 2023 financial performance with net income of $230 million or $6.55 per diluted share, representing the second consecutive quarter in which we achieved our highest quarterly earnings per share level. Additionally, we finished 1Q ‘23 with adjusted EBITDA of $346 million and generated $221 million of free cash flow.  In addition to our strong operating and financial results, we continue to advance our Forward Progress Sustainability Initiative in the first quarter. Through this initiative, we seek to align our sustainability goals with our corporate strategy, while developing and deploying innovative technologies to reduce our environmental footprint, creating alternative and high-value uses for coal and supporting global environmental aspirations. In March, we were proud to release our 2022 Corporate Sustainability Report outlining our performance in each of these areas. For example, our CONSOL Innovations team has expanded our portfolio of coal-to-products projects that could create expanded high value and low carbon intensity uses of our coal. Importantly, our greenhouse gas emission reduction targets remain a top corporate priority as we seek to achieve a 50% reduction in our Scope 1 and Scope 2 operating emissions by 2026 compared to our 2019 baseline levels. Through 2022, we have achieved a reduction of approximately 25%, and today we are excited to announce that we have now entered into an agreement with Environmental Commodities Corporation to expand our Voluntary Methane Destruction Program, which has been piloted at the PMC since 2017. As we have noted earlier, CONSOL will spend approximately $28 million between 2023 and 2026 to fund this effort. The project not only provides the direct benefit of a voluntary emission reduction in support of our greenhouse gas goals, but also provides an opportunity to generate greenhouse gas emissions reduction credits created to compliance and voluntary programs. Today's announcement underscores our commitment to industry-leading ESG performance as we seek to create sustainable value for our stakeholders in 2023 and beyond.  Now, let me provide a quick update on our outlook for 2023. On the guidance front, for the PAMC we are reiterating our sales volume range of 25 million to 27 million tons and cash cost guidance of $34 to $36 per ton for 2023. However, due to reduced PJMS power prices and API2 prices, we are reducing our expected average realized coal revenue per ton sold to a range of $76 to $81 from previous range of $78 to $84. Let me provide some perspective around this updated run.  On our last earnings call, we provided pricing sensitivities based on fluctuations in PJMS power prices and API2 prices. When factoring in actual 1Q ‘23 pricing and current forward curves, PJMS power prices are approximately $13 per megawatt hour below the prior guidance, and API2 prices are approximately $30 a ton lower than prior guidance. Using the sensitivities of $0.10 for each dollar change implies a reduction of $4.30 per ton across the portfolio and aggregate. However, the midpoint of the updated range has been reduced by only $2.50 a ton, which implies an uplift of $1.80 per ton to the sales book through portfolio optimization.  For our Itmann mine, we are reiterating our 2023 production guidance range of 400,000 to 600,000 tons. As previously stated, once Itmann achieves its ramp-up to full run rate production, we intend to provide more detailed guidance similar to the Pennsylvania Mining Complex.  Lastly, on the capital expenditure front, we are reiterating our guidance range of $160 million to $185 million for 2023.  With that, let me turn it back to Jimmy.
Jimmy Brock: Thank you, Mitesh. For the remainder of 2023, we have a few key areas of focus that we believe will further strengthen our company. First, we are continuing to drive our Itmann mine forward with the goal of ramping up to full run rate production this year. The Itmann team achieved multiple milestones during the first quarter, and we expect them to continue to push forward. Our main focus now is fully staffing the complex, completing the remaining long-term construction activities, and ramping up the third CM super section. Our key operation and management team members remain dedicated to supporting the Itmann team and their staffing and ramp-up efforts. Second, our sales team remains opportunistic in its approach and is focused on leveraging the diverse end-use markets for our high-quality products, as evidenced by our contract in progress this past quarter, even as traditional power generation markets were challenged.  The team remains focused on layering in future new business, strategically optimizing our current contract book and pivoting to deliver the highest possible arbitrage. You saw this in our strong results in Q1 ‘23 despite reduced API2 and PJM West power prices during the quarter. Third, a major priority for 2023 is to increase the throughput capacity of the CONSOL Marine Terminal by capitalizing on the optimization and debottlenecking efforts that we've been working on for the past several years. We are dedicated to strategically shifting more sales into the growing seaborne markets to offset declines in the domestic market over time. Our future sales growth is in the export market and owning our own terminal has always been and will continue to be a strategic advantage for CONSOL Energy. Increasing the throughput capacity at the CMT only expands that opportunity.  Finally, as our debt reduction goals are near complete, we are committed to returning a significant portion of our quarterly free cash flow generation to our shareholders. As such, we are happy to announce this morning an increase to our enhanced shareholder return program, which will become effective immediately in Q2 ‘23. We now plan to return approximately 75% of quarterly free cash flows to our shareholders, which we believe is industry-leading amongst our peers. While historically we've been focused mostly on dividends, our intent moving forward is to pivot our return program to mostly share buybacks. This decision is based on the attractive free cash flow yields at which our stock is trading, the tax efficiency of buybacks over dividends, and the feedback we received from our shareholder base. In support of this effort, we also announced this morning that our Board of Directors has increased its previously authorized repurchase program to an aggregate amount of up to $1 billion through December 31, 2024. As a reminder, the management team and the Board, at their discretion, will approve the continuation and form of shareholder returns each quarter. After posting multiple record results in 2022, we continued that trend and hit many quarterly records in Q1 ‘23. I want to acknowledge that none of this would have been possible without the hard work, dedication, and perseverance of all of our employees across the company. I am extremely proud of this team, and I want to thank them for their commitment to keeping our core values of safety and compliance at the forefront of everything they do. Lastly, I want to recognize our CONSOL Marine Terminal for their efforts in achieving a phenomenal milestone. This group of employees just reached one million man-hours worked without a recordable incident. Their last recordable incident occurred in June of 2014, and we certainly appreciate their dedication and efforts in working safely and compliantly, as our business for the CONSOL Marine Terminal continues to grow. With that, I will hand the call back over to Nate.
Nathan Tucker : Thank you, Jimmy. We will now move to the Q&A session of our call. At this time I'd like to ask our operator to please provide the instructions to our callers.
Operator: Thank you. [Operator Instructions]. Our first question today will come from Nathan Martin of The Benchmark Company. Please go ahead.
Nathan Martin: Thanks, operator. Good morning, guys. Congrats on the quarter and thanks for taking my questions.
Jimmy Brock: Good morning. Thanks.
Nathan Martin: Let's see. So, you layered on an additional 13.5 million tons through ’26. I believe Mitesh said, all in the export market. Bob, could we get some more color on maybe the destination on market for those tons, a breakdown by year and pricing? That would be really helpful. Thanks.
Bob Braithwaite : Sure. Nate, so when you look at the cadence of those tons, about 3.3 million were sold this year for 2023. Some of those shipped already. Some will be shipping here in the back half of this year. 2.2 million in 2024, and about 4 million in each year in 2025 and 2026 and the majority of that volume was sold into the industrial markets into both India and also into Egypt. And about 11 million of the 13.5 million tons are linked to API2, although they do have floor and ceiling, so there is a built-in hedge to the 11 million tons, the balance to be fixed price. And if you look at where API 2 prices are today for call it ‘20, you know back half of ‘23 all the way through 2026, if those API2 prices were to hold, you're looking roughly around $70 a ton on average for the 13.5 million tons sold. 
Nathan Martin: Very helpful, Bob, I appreciate that. And then maybe looking at ‘24 specifically, your increase committed in price position, looks like the 14.7 million tons from 12.5. Could we get an updated breakdown of the markets for those tons as well? And then Bob, I know you previously mentioned I think an average price on those tons between the ‘22 actuals and ‘23 guidance. Could we get an update there too? Thank you.
Bob Braithwaite : Yes sure. So the 14.7, next year we have about 2.5 that's linked to power, sitting here today about 5.6 that is slotted to go export. Of the 5.6, 4.6 million of those are linked to API2, all 4.6 do have ceilings and floors associated with those and then the balance which will be about 6.6 are domestic and fixed price.  Pricing on those tons, you know we're looking at the Ford’s [ph] powers, roughly call it mid-40s per megawatt hour. API2 price around 130. I will tell you that we're, you know call it upper 60’s, lower 70’s on our average sold price for 2024 on the 14.7. 
Nathan Martin: Got it, I appreciate that. And then maybe would also be great coming back to ‘23 if we could get some thoughts on cadence of shipments. Obviously a strong production quarter in the first quarter here and then maybe any thoughts on pricing as we move to the next few quarters as well with the first quarter pricing so strong.
A - Jimmy Brock: Yeah, nice, so let me talk a little bit about the cadence. You know Q1 is typically one of our strongest quarters. This past quarter in Q1, we did not have any longwall moves. So looking at the moves going forward, we currently will have two here in Q2, and I believe we'll have one in Q3 and one, possibly two in Q4, depending upon how hard we run the longwalls.  So from a productivity standpoint, I think you'll see our second quarter affected a little bit by the two longwall moves that we'll have, and which is all in the plan and then we'll have that one again in Q3 and possibly two. So I think we'll be pretty steady. I still like our guidance, you know before we guided 25 million to 27 million tons, it's still very accurate. 
A - Mitesh Thakkar: And then on the pricing front, I would say just say Nate, you know we had a very strong Q1. We had a lot of optimization there. We actually shipped a million more tons export than what we originally forecasted. A lot of that had to do with some delays and some shipments to our domestic customers and a strong demand coming out of India.  You know as we move forward, API2 prices are obviously reduced from what Q1 was and Q1 averaged, call it 147; April average about 140. In our guidance we're assuming $130 API2 price going forward. So you know if that API2 price were to come up, we certainly could see some benefit there, and then as far as the power price is concerned, we're basically modeling in the power price at the floor.  So really there's no downside to that, it's only upside potential. So if we do see a warm summer, we start seeing natural gas prices creep back up. You know the Ford’s [ph] I think suggest we'll start seeing $3 gas here later this year, and if that does transpire, you know it certainly will benefit us on the power net back contracts.
Nathan Martin: Got it, thanks. And then maybe just one final before I turn it over. You know as we look ahead at potential shipments in 2024, clearly you guys have signaled and demonstrated your plan to grow your export exposure, domestic markets appear they will continue to be in secular decline. Do you feel like you can maintain that kind of 25 million to 27 million ton shipment level in ‘24 or could that number be pressured?  And then let's just say from a purely hypothetical standpoint you know, if you did have to adjust production down next year driven by demand, how would you go about that operationally? Would it be reduced shifts; would it consider idling the longwall. Obviously you just brought your fifth longwall back on, which is some of your highest quality coal I believe. So any thoughts there would be helpful. Thanks.
A - Jimmy Brock: Yeah, well we still believe that there'll certainly be a market. You know that’s somewhere consistent to where we are today, but as we've always said, we run to the market. So if the market is there, we'll continue to run our five longwalls. If we have an opportunity, we need more tons as I previously stated, you know we can run on weekends, holidays.  Now, let's look at the other side of it. If – obviously if demand falls off, we've been through that. So yes, we can – we have a lot of flexibility and optionality in the Pennsylvania Mining Complex. So we could throttle back a longwall if needed be and we could run four or we could even run three. But one of the things that we meet on quite frequently is the quality, the spec of the coal we're shipping and where it goes to, and as we said, that fifth longwall that we have in operation now at Enloe Fork, certainly allows us to produce lower sulfur products if we want to segregate that to move into the market.  So whatever our marketing team comes back with, we will run exactly to that. And our objective has always been, we run to the highest cash margin. So if it's running five longwalls or four, whatever that demand is, we only worry about the things we control. So if there's no demand, obviously we'll run less and we'll be laser focused on controlling our cost and making the highest margin per ton we can generate.
A - Mitesh Thakkar: And Nate, if you take a step back and look at the history, I think the demand drives a lot of what we do. But in fact, even at lower prices, we have been successfully able to run and pivot to different markets and the playbook is still the same. Now, we have even more optionality with the expanded capacity at the terminal.
Nathan Martin: Great! I appreciate those thoughts, Jimmy and Mitesh, and thanks for your time today guys. Best of luck!
A - Jimmy Brock: Yep. Thanks, Nate.
Operator: Our next question today will come from Lucas Pipes of B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much, operator, and congrats everyone on a very strong start to 2023. 
A - Jimmy Brock: Thank you, Lucas.
Lucas Pipes: I want to ask about the 2024 contract book and where would you expect to sell the balance of what is yet to be sold? Would appreciate your thoughts on that. Also as it relates to how eager you are to put those tons to bed. Are you looking to sell those over the next two quarters, three quarters? I would appreciate your thoughts on all of that. Thank you.
A - Jimmy Brock: Yes, so Lucas, I mean I think last call I mentioned that I could see our exports getting close to 14 million tons in 2024. I still think that's the case. Call it 14 million tons, maybe even 15 million tons.  As we saw in Q1, the terminal is able to throughput at least 18 million, potentially even 20 million tons, so we feel pretty confident in our ability to do that. That means we basically would sell another nine, call it nine to 10 million tons export, which doesn't leave much left for domestic.  From a domestic standpoint, I think there are a lot of utilities that are kind of in a wait-and-see position. Once we get through summer, see how summer plays out, I think you'll see more RFPs come out and I think there's certainly going to be opportunity to secure more volumes on the domestic side. But you know we're going to remain patient. If there's an opportunity that makes a lot of sense to us. Obviously we're going to tap onto that, just like we did in the first quarter. And there's certainly some appetite out there in the international markets for longer-term deals now, especially for high-quality, high-CV coals.  So we're still in discussions with customers for long-term deals, and if we can find one that makes sense, we'll certainly continue to add on to our book.
Lucas Pipes: That's very helpful. And last quarter you mentioned the sensitivity to PJM and API2 prices for 2023. And I wonder now with one quarter under your belt, how have those sensitivities shifted? And it might be a little early, but any way to frame up the same sensitivity for 2024 based on what you expect in terms of your mix between domestic and export?
Jimmy Brock: So for 2023, so let's start with power. So power right now, what we're modeling in is, call it around $38 a megawatt hour for the balance of the year. That basically puts us right at our floor price, so there's really only upside there and I'll just say, for the tons left, we're looking at about $0.08 per ton. So if the PJM West price were to increase $1, we have about an $0.08 uplift to our portfolio.  Similar to API2 prices, it's very close to the same sensitivity around $0.08 a ton. But there are obviously both directions up and down on the API2 price. And for 2024, it's just a little too early to provide any sensitivity at this time.
Mitesh Thakkar: And Lucas, also remember that from time-to-time we have optimized the portfolio. So for example Q1, if you just look at the sensitivity on API2 and the power, our guidance hasn't declined as much as those two sensitivities would imply. That means we were able to optimize the book in a way that we were able to create some additional upside. I think we'll continue to focus on that, and that's why sensitivities are good from a modeling perspective, but that doesn't necessarily mean they are going to always hold.
Lucas Pipes: It's especially good to see when they don't hold in a way that you beat them, so good job on that. Last question for now, just on the market side, we've seen MetCo prices in the seaborne market come under a fair bit of pressure. Seaborne prices on the thermal side have held up in contrast to that. How would you square that? What are you seeing in the seaborne markets today? Thank you very much.
A - Mitesh Thakkar: Yeah, so I mean, I'd say both have come off a bit. On the thermal side we've seen MetCo prices, which obviously we trade a lot against into India and also to Egypt. We've seen those prices come down, but I think we've kind of found a floor level of call it 135 CFR India. So we're going to continue to sell into that market even at that level and still turn a nice profit. But our expectations are as soon as monsoon is over in India, obviously we're heading into a monsoon season. When that's over, we expect demand to reenergize, and we would expect prices to go back up. On the Met side, I think we're just seeing a lot of challenges in China right now. China's kind of mute, and then we've also seen production increases come out of Australia after the La Nina season. However, just be reminded that markets have come off a bit, but we're still in a pricing environment that is, you know if you look at history it’s still pretty attractive, and even at $240 U.S. East Coast low wall prices, we're still turning a nice profit back to Itmann.
Lucas Pipes: Very helpful. Thank you so much. I’ll turn it over for now.
Jimmy Brock: Thanks, Lucas.
Operator: [Operator Instructions] Our next question today is from Michael Dudas of Vertical Research Partners. Please go ahead.
Michael Dudas: Good morning, gentlemen.
A - Jimmy Brock: Good morning, Mike.
Michael Dudas: Mitesh or Jimmy, maybe some further thoughts on the 75% free cash flow allocation. When you say you're leaning towards shares, what does that mean for a dividend? Is it just going to still be a regular dividend? Will there be any variable?  And maybe as we look towards the completion of Itmann and what normalized, maybe enough at normalize maintenance or recurring capital spending or it counts out as you go out the next couple of years, you know including some of the ESG spending that you're forming. Any major changes or thoughts towards those over the next several years or are we going to – or is that cash flow really going to be dedicated towards the excess capital returns, especially since you're taking a pretty good chunk out of your debt?
Mitesh Thakkar: Michael, let me start on the capital expenditure. Obviously, the bulk of the Itmann spending is behind us. And as we stand today, we’re mostly focused on making sure that Itmann reaches its run rate capacity this year and we provided you maintenance capital guidance for this year.  I think generally speaking, our maintenance capital would stay in that $5 or $6 range at the Pennsylvania Mining Complex going forward and we will provide you more color once Itmann is in steady state on what the maintenance capital looks like. But other than that, and greenhouse gas emission spending that we talked about of just under $30 million over the next four years, there is no major capital plan right now. Obviously, don't think of this as a guidance for 2024 or 2025, but that's how I would think about it unless some project comes up, where it is attractive enough to spend some more capital.
Jimmy Brock: And on the sharebacks Michael, one thing we constantly do is, we tell people we will spend every dollar of capital at the highest rate of return. So we've reached the point, you know we've continued to work on paying down our debt. We have that nearly where we need it to be, and we'll continue to do that. But we pivoted to share buybacks as I said earlier, because of the free cash flow yields that we have, because of the tax efficiencies and we believe that that is the highest rate of return. So going forward at this point, I would expect that the major part of our capital will go towards share buybacks instead of dividends.
Michael Dudas: Understood. I appreciate that. Thanks gentlemen.
Jimmy Brock: Thank you.
Operator: And our next question is a follow-up from Lucas Pipes of B. Riley Securities. Please go ahead.
Lucas Pipes : Thank you so much. Just a few quick follow-up questions. The first one on the domestic market. I wondered if you could provide an update on the inventory situation at utilities, that's the first one. Thank you very much.
Jimmy Brock: Yeah Lucas, I'd say inventories today are pretty much at normal or a little bit above normal. Again, we're in the shorter season getting prepared for the summer burn. However, there has been some pushback because there's concern about demand and how much coal that's going to actually be consumed this summer. So inventories, I'd say are again above normal to normal, but we've seen how quickly this all can play out and inventories can deplete. So we're working with our customers on those shipments that have been deferred into the second half of this year. And, again, we were successful in placing those into the export market.
Mitesh Thakkar : And Lucas, I will also add that if you look at the profile of our market, now we are less and less reliant on the domestic power generation market. I think I mentioned in my prepared remarks, this is the first quarter in our history where export industrial outpaced domestic power generation. I think if you just take a step back and look at the markets we serve, between domestic power, export power, export crossover, export industrial, and then ultimately MetCo commitment as well, I think we have created a very diversified book of business here that allows us to pivot from – depending on which market is stronger or weaker. So I think we are going to be cognizant of that and inventory levels will normalize, because in a way we are helping normalize inventory levels as we move coal away from the U.S. domestic market.
Lucas Pipes : Thank you, Mitesh. And that actually takes me to my follow-up question. You have that flexibility to pivot to the seaborne market. Not all of your domestic peers have that flexibility. Is there any talk of a supply response? Any industry anecdotes you could share would be appreciated. Thank you.
Jimmy Brock: Well, on the supply side Lucas, obviously here domestically we haven't seen a lot of supply increase, and I don't think you will see that going forward. Again, it's all about demand. So as you know, probably 90% of our domestic customers are repeat. So this is not anything that we haven't been through before as far as inventory levels. We have to sometimes help adjust inventories and work with our customers to do that. But if we have a normal summer, come back to work, I think Bobby is correct. I think you will see those inventory levels begin to normalize and then you haven't seen a huge production spike. I don't think you will, because I don't think domestically here in the U.S. we're not at the point where we can do that yet.
Lucas Pipes : And would you expect production to come in i.e., mines getting potentially curtailed or see a lower utilization rate?
Mitesh Thakkar : So Lucas, generally speaking, with any commodities you're going to try and make sure first thing is first, you're going to see a response from the utilities, which we are already starting to see. You're going to see pushbacks, right, because they are running out of inventory space or they have more than required inventory, so you're going to see that.  The producers will try to move coal elsewhere, where there is an opportunity in terms of terminal space or export market, that's happening already. And we are already starting to see some production response, but not enough that warrants a huge discussion here. But I think it should come unless summer shows up, which would be a good thing, and utilities start burning more coal, I think you're going to see some sort of response here.
Lucas Pipes : That's very helpful. Thank you for that market color and then another industry question. There are some MetCo assets for sale, and I wanted to gauge your interest in M&A to maybe reweight the portfolio. Where would that rank versus the capital return opportunities you outlined earlier?
Jimmy Brock: Well, I think it's the right opportunity to come along. As we've said previously, we look at a lot of projects that come along. If we have one that makes sense, most likely on the metallurgical side would be one that we would certainly consider very strongly and look at, but we haven't seen those. I mean when we get the opportunity to look at one, it either comes down to valuations or out of line or just can't make the deals happen. Now, one thing that we are very optimistic about and we continue to look at is adding reserves that are closer or in surrounding proximity to our Itmann mine there. So that would make the most sense for us and it would definitely be on the metallurgical side if we did that. But we're obligated to our shareholders to look at everything that comes in front of us, and if something makes sense, we certainly have the wherewithal to do it. But at this point in time, we haven't found that.
Lucas Pipes : Very much appreciate the additional color. Best of luck to everyone. Thank you very much.
Jimmy Brock: Thanks, Lucas.
Operator: Our next question is a follow-up from Michael Dudas of Vertical Research Partners. Please go ahead.
Michael Dudas: Yes, thanks. As I was thinking about your shift away from the domestic market into the export market, which makes total sense, maybe you could share your updated thoughts on with your repeat baseload customer base in the United States on the utility side, is there any significant changes towards plant closure, retirement, speeding up, deferring? And is that changing maybe how your baseload opportunities for these customers will be, say three, five, seven years out given to where you would have thought maybe a year or two ago?
Jimmy Brock: That's a great question. It's something that we started looking at years ago. So when you look at the domestic plants we serve currently sitting here today, there's no meaningful retirements for us until I think 2028, Bobby? 
Bob Braithwaite : Correct.
Jimmy Brock: And so we continue to look at those, and they continue to be pressured. But we believe that the power plants that we're going to, particularly here in the northeast and down in the southeast, will be here for at least to 2028 and who knows in the future going forward. But that's one of the main reasons that when we do see one of those, that we are trying to focus more and more on taking our coal to where it's wanted, and that's in the international markets.
Bob Braithwaite : Yeah Mike, just to follow-up on that. Yeah, 2028 is when the ELG rule takes effect. So that's when we start to see a little bit of a material effect on what I would call our typical domestic book, to the tune 3 million, 4 million tons. However, we've already started pivoting toward the export market to cover those tons and to kind of follow up on Lucas's question about your NAV production over the next several years, my personal view is that if you don't have access to seaborne markets, it's certainly going to make it more and more challenging due to these announced closures of domestic power plants, especially those in the PJM.
Michael Dudas: Excellent thoughts and it makes so much sense. Thanks guys.
Jimmy Brock: Thank you, Mike.
Operator: And at this time, we will conclude our question-and-answer session. I would like to turn the conference back over to Nathan Tucker for any closing remarks.
Nathan Tucker: Thank you, operator. We appreciate everyone's time and interest this morning and for your support in CONSOL Energy, and we look forward to speaking with you on our next earnings call. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation and you may now disconnect your lines.